Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter and Full Year 2019 WideOpenWest, Inc. Earnings Conference call. [Operator Instructions] I would now like to turn the call over to Mr. Lucas Binder, WOW!'s Vice President of Corporate Development and Investor Relations. Mr. Binder, please proceed. 
Lucas Binder: Thank you, Catherine. Good morning, everyone, and thank you for joining our Fourth Quarter and Full Year 2019 Earnings Call. With me today is Teresa Elder, WOW!'s Chief Executive Officer; and Rich Fish, WOW!'s Chief Financial Officer. Before we get started, we need to remind everyone that during our call, we will make some forward-looking statements about our expected operating results, our business strategy and other matters relating to our business. These forward-looking statements are made in reliance on the safe harbor provision of the federal securities laws and are subject to known and unknown risks, uncertainties and other factors that may cause our actual operating results, financial position or performance to be materially different from those expressed or implied in our forward-looking statements. You are cautioned not to place undue reliance on such forward-looking statements. We disclaim any obligation to update such forward-looking statements. For additional information concerning factors that could affect our financial results or cause actual results to differ materially from our forward-looking statements, please refer to our filings with the SEC, including the Risk Factors section of our Form 10-K filed with the SEC this afternoon. 
 In addition, please note that in today's call and in our earnings release, we refer to certain non-GAAP financial measures, such measures include adjusted EBITDA; transaction adjusted EBITDA; transaction adjusted capital expenditures; transaction adjusted capital expenditures, excluding transaction adjusted expansion capital expenditures, transaction adjusted free cash flow and transaction adjusted diluted earnings per share. While the company believes that these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. We've included a reconciliation of reported adjusted EBITDA to transaction adjusted EBITDA and the other metrics in our earnings release and trending schedule available on our website at ir.wowway.com. Unless otherwise noted, references to transaction adjusted results discussed on this call means results adjusted to include the impact from acquisitions and exclude the impact from dispositions, excludes the impact from Hurricane Michael and associated insurance settlement. Now I'll turn the call over to Teresa. 
Teresa Elder: Thanks, Lucas, and thank you, everyone, for joining today's call. As we start 2020, I want to highlight our strategic direction, and how we are building on and accelerating our efforts of the last couple of years. Our business is rapidly evolving as more customers access content, where, when and how they choose. They're enjoying more choices than ever before and are becoming agnostic as to how their entertainment is delivered. This market dynamic has led to record cord cutting and cord shaving in the industry. 
 In 2020, WOW! is positioned to meet this dynamic as we continue to grow our broadband business by improving the value proposition of our high-speed data or HSD services and further building upon the strength of our advanced network. We are accelerating the transformation of our network to all IP-based services. 
 We are accomplishing this transformation by supporting streaming alternatives through partnerships across our footprint. In addition, we've also launched an IPTV offering, which is a broadband-driven video solution that uses our network more efficiently than the current traditional video offering. 
 These services will drive enhanced penetration of high-speed data, facilitate long-term reductions to operating expenses and provide more efficient use of capital as we reclaim bandwidth on our network, ensuring that we have sufficient capacity to meet the multi-gig demands of the future. All of these streaming services run on WOW! HSD. 
 In addition, when customers switch to streaming services, they often consider upgrading to faster speeds, and there's a greater probability of Whole-Home WiFi adoption. As a result, WOW! benefits from higher margins through the elimination of programming expenses and the annual double-digit cost increases from content providers. In addition, over time, as our embedded base of customers change from linear video to streaming alternatives, we expect to realize operational efficiencies as a result of fewer calls to our care organization and fewer truck rolls for in-home service repairs. 
 Further, we expect to become more capital-efficient as a result of shorter times for installation and the elimination of legacy video customer premises equipment. Our focus is to facilitate the transition as quickly as possible for those customers for whom the streaming services is an attractive alternative. 
 We have an advanced network that we are able to leverage, and we welcome the deemphasis of linear video across the industry and how that will benefit WOW! as well as our customers. We have already seen an increase in those buying HSD without a video service from 57% of total new subscribers in December of 2018 to 66% of total new subscribers in December of 2019. 
 As we continue to transform the business, our initiatives are focused on several key objectives: to free up bandwidth capacity; to provide more customer choice; and to optimize our customer service capabilities. These objectives take advantage of how the industry is evolving toward WOW! strengths. WOW's vision, connecting people to their world through the WOW! experience, which we define as reliable, easy and pleasantly surprising every time is the driver of this evolutionary outlook for WOW!. We are offering new products in certain locations to test our next generation services. These offerings are IP-driven. 
 Recently, we launched our WOW! TV plus service in our first market. This is a new customer offering that provides IP-based video service, curated in an easy to navigate and intuitive manner for our customers. 
 Our new IP platform offers many advantages compared to the legacy video services we provided, including an integrated customer experience for watching content on multiple platforms. The platform also provides for integration with Android-based Internet of Things devices within each customer home as well as benefits for WOW! as we deploy more efficient set-top boxes, recapture bandwidth within our network and realize operational efficiencies. 
 Additionally, in conjunction with our prior agreements with Philo and fuboTV, we have entered into agreements with YouTube TV and SlingTV to promote their services alongside the WOW! HSD service. We are finding new ways to enhance the value of our HSD services by providing robust IP-based video choices for our customers. We have begun to promote these live TV streaming services to new HSD customers in our first test market to understand how we can best meet our customers' needs. And we look forward to expanding this partnership across our footprint in the next several months. After making these investments and ultimately transforming our business, we believe the company will enjoy increased customer penetration rates of HSD, realize higher margins and become more capital efficient in the future and will be better positioned to accelerate EBITDA growth. 
 Let me highlight now some of the accomplishments from the fourth quarter and full year 2019. Total subscribers grew 5,800 in the fourth quarter of 2019. HSD RGUs grew by 7,600 in the fourth quarter which included 4,500 organic HSD RGU net additions. For the full year 2019, WOW! added 23,700 total HSD RGUs, above the high end of our revised full year guidance and the best fourth quarter in 5 years. 
 Total subscriber churn was stable with the record results of the year ago period. For the full year, churn built on the success of 2018 and improved for the full year 2019, in part as a result of the changing mix of our customer base away from the traditional linear video to data services. HSD-only churn is typically 15% to 20% lower than double play customers, who also take our traditional linear video services. We've been very pleased with our customer retention efforts and look to build on this success in 2020. 
 Through the start of the year, strong new customer acquisition, coupled with continued retention efforts, give us confidence that HSD RGU growth at the start of the year should be up year-over-year. We expect to continue our recent positive trends in growing HSD subscribers and that net additions for the coming year will exceed 2019 HSD net additions. 
 We have had a strong start to the year in HSD net additions. Edge-Outs homes passed grew by 20,300 in the fourth quarter, and full year 2019 saw WOW! add 48,000 total homes passed through Edge-Out efforts. Edge-Outs added 3,000 subscribers in the fourth quarter and 7,000 subscribers for the full year 2019. We have seen several nodes launched in 2019 that have already exceeded double-digit penetration. 
 As we discussed last quarter, we put through a video rate increase at the start of December. The rate increase was in line with our expectations. We expect to continue to update you on our rate plans as the year progresses. But it is safe to assume that we will continue to focus on offsetting content costs as much as possible. 
 Fourth quarter 2019 business services subscription revenue grew 7.7% year-over-year. This was an improvement over the third quarter, and we remain encouraged by our commercial business and expect it to continue to be a key contributor to growth going forward. 
 Fourth quarter transaction adjusted EBITDA of $109.1 million was down 1.4% on a year-over-year basis. The decline was due to a change in voice revenue for the fourth quarter because of an accounting requirement that it now be booked as an offset to future capital expenditures. 
 For the full year, transaction adjusted EBITDA was $431.5 million, up 3.8% over 2018. Customer behavior has continued to evolve towards higher speed tiers and more services associated with our HSD offering. With the launch of our 200-Meg speed tier, adoption has rapidly moved to higher speeds. December saw more than half of connects coming from 200-Meg or higher. We expect to continue to drive greater adoption of 200-Meg or higher as the year progresses, with 200, 500 and 1 gig being the main selling tiers for WOW!. 
 Whole-Home WiFi as an added service, coupled with high-speed data, has seen adoption rise significantly as well. For the fourth quarter, Whole-Home WiFi take rates were up 50% over the fourth quarter of 2018 and up 7.4% over the third quarter of 2019. Our online sales channel, the lowest cost acquisition channel, has grown to be the second largest channel for new connects. There is a preponderance of HSD-only sold through this channel. 
 In December, we achieved one of our key milestones for online, over 30.6% of connects came through the online channel, a new record for WOW!. As I have described, we have a number of initiatives ahead of us for 2020 that will drive greater customer adoption of HSD while making the overall customer interaction with WOW more seamless. We are confident that we can execute against this outlook and come out positioned to grow into the future. This is an exciting time for WOW! as we migrate to a broadband-centric approach, which takes advantage of our advanced network. What we have been doing is transformational for WOW!. We have an exciting and attractive offerings for our customers, which represent services our customers want. 
 As we proceed with these initiatives, we will continue to update you throughout the year. Now I'll turn it over to Rich to discuss some of the quarterly financials and the outlook for 2020. 
Richard Fish: Thanks, Teresa. For the fourth quarter of 2019, we reported total revenues of $283.5 million, which were down 0.7% on a year-over-year basis, and net income of $6.9 million. Fourth quarter 2019 transaction adjusted EBITDA totaled $109.1 million and transaction adjusted EBITDA margin in the fourth quarter increased approximately 40 basis points to 38.5%. 
 Excluding the impact of the voice-related revenue reclassification to CapEx that Teresa mentioned, transaction adjusted EBITDA margin percentage would have increased by approximately 70 basis points to 38.8%. As of December 31, 2019, total subscribers increased by 5,800 or 0.7% over the September 30, 2019 total subscriber count, and total HSD RGUs increased by 7,600 or 1% from the end of the third quarter. 
 Subscriber activity during the fourth quarter of 2019 represented a continuation of a return to growth for WOW!, as the HSD RGU net change during the quarter included organic HSD RGU net additions of 4,500. Business services subscription revenue totaled $35.0 million in the fourth quarter, a year-over-year increase of $2.5 million or 7.7%. 
 As we head into 2020, I want to take a minute to refresh our discussion on Edge-Outs and why these investments are so attractive. As we've discussed before, Edge-Outs represent a unique opportunity for WOW! to expand our footprint at very favorable economics. The total cost to expand our network for any given Edge-Out project generally ranges from approximately $600 to $750 per new home passed. These total costs to expand our network vary because of any number of factors that impact the total cost to build, including differences in the amount of aerial versus underground plant and the density of homes within any given Edge-Out project. 
 Including those total network construction cost to expand our footprint to all the new homes in the agile project; plus the customer acquisition costs for new subscribers added, including sales and marketing; customer premise equipment and installation costs, the total all-in cost of acquiring customers typically ranges from approximately $2,500 to $3,000 per acquired subscriber, assuming an ultimate penetration rate of approximately 30% being achieved after 3 or 4 years. 
 Based on current contribution margins per subscriber, this implies an acquisition multiple, ranging anywhere from 3.5x to 5x being paid to acquire these customers. As this is well below the company's current valuation multiples, this represents a highly accretive investment opportunity. And even with a lower penetration rate, the acquisition multiple would still be well below current valuations and a substantial discount to where we believe the stock should trade. 
 Understanding the economics and the highly accretive nature of these investments gives further insight to success we experienced with our 2016 and 2017 Edge-Outs, which have achieved 34.1% and 28.0% penetration, respectively, as of the end of 2019. Given the aging of these investments, we will be removing them from the trending schedule and consider them a part of the organic footprint on a going-forward basis. Through the end of 2019, the 2018 Edge-Outs have achieved 17.3% penetration, and the 2019 Edge-Outs have achieved 9.1% penetration. 2019 Edge-Outs added 48,000 new homes passed to our footprint during the year, most of which were completed in the second half of 2019. 
 While penetration rates for the 2018 and 2019 Edge-Outs have not quite kept pace with the 2016 and 2017 cohorts, these more recent Edge-Out nodes have slightly lower total cost of construction per home passed. And we've seen great improvement recently in penetration rates for these vintages. We believe we still have significant upside in these more recent nodes and expect their penetration rates will continue to improve over the next couple of years as these projects mature further. 
 Capital expenditures for the fourth quarter of 2019 totaled $56.4 million on a reported basis. For the full year 2019, capital expenditures were $247.5 million on a reported basis. Excluding the capital investments attributable to the Chicago Fiber project, which totaled $11.4 million in 2019 and $3 million from Hurricane Michael, transaction adjusted capital expenditures for 2019 totaled $233.1 million. This total included approximately $56.5 million of expansion capital expenditures for business services and Edge-Outs as well as approximately $10 million to $15 million of capital related to the strategic initiatives that Teresa's highlighted, including our launch of WOW! TV plus and our partnerships with streaming services and our efforts to improve bandwidth utilization. 
 We will continue to make these investments throughout the year. Excluding the $56.5 million of transaction adjusted expansion capital expenditures, transaction adjusted CapEx totaled $176.6 million or 15.4% of 2019's total revenues. 
 With regard to liquidity and leverage, as of December 31, 2019, we had $21.0 million in cash on hand. Outstanding debt totaling $2.31 billion and $239.5 million undrawn revolver capacity. We continue to see sequential improvements in net leverage, which came in at 5.3x as of December 31, 2019, on a trailing 12-month transaction adjusted EBITDA basis. This was down from 5.54x at December 31, 2018, a quarter turn reduction on a year-over-year basis. 
 And finally, in the context of the transformation that we're undertaking in our business, let me highlight our outlook for 2020. We expect to continue our recent positive trends in growing HSD subscribers and that net additions for the coming year will exceed 2019's HSD net additions, with the first and third quarters being the seasonally strongest. Total revenues could decline slightly in 2020, largely driven by the loss of higher ARPU, but lower margin video RGUs. 
 We do anticipate, however, improving gross margins as a result of our strategic shift towards a greater focus on broadband, the investments that we're making in the network for bandwidth optimization and the beneficial transition of our subscriber base towards higher-margin HSD RGUs. This margin improvement should offset potential declines in revenue, and we expect transaction adjusted EBITDA would be flat in 2020. 
 We anticipate, however, accelerated growth in transaction adjusted EBITDA, when we begin to realize the benefits from the investments in the transformation of our business that we're making. During this transitional time when we're making investments that we've discussed on the call today, capital expenditures are likely to rise slightly for the upcoming year. As Teresa outlined, we believe that making these investments and, ultimately, transforming our business will allow the company to benefit from increased customer penetration rates of HSD, realize higher margins and become more capital-efficient in the future, and we'll be better positioned to accelerate EBITDA growth. So that concludes our prepared remarks, so I'll turn it back to Catherine to open the call for questions. 
Operator: [Operator Instructions] We will go ahead and take our first question from Zack Silver with B. Riley FBR. 
Zachary Silver: Okay, great. So you guys have had a lot of success in growing the broadband sub base and you said you'll see an acceleration of that growth next year. That said, free cash flow is a very important metric for cable investors. And your conversion, as a percentage of EBITDA, is significantly lower than the overall industry. So looking at here going forward post-2020, can you talk about what levers you have at your disposal to improve the free cash flow conversion and trajectory of the business? 
Teresa Elder: Yes. I'll just start out. Thanks for the question, Zack, and then I'll hand it off to Rich as well. But in general, I think what we're seeing with this transformation is that we're moving to services that are higher margin for us that our customers like. We're seeing lower operational costs associated with these kinds of services, which will flow through the whole business. So we also think that will eventually have impact on more efficient capital expenditures as we get these products and systems launched. So that's the general hypothesis, and then I'll turn it over to Rich as well. 
Richard Fish: The only thing I would add, Zack, is when -- as it relates to 2020, certainly, when you consider all of the contributors that go into cash flow, kind of starting at the top, adjusted EBITDA, CapEx, interest, taxes, working capital, all the integration expenses, there's obviously a number of levers that we will be working aggressively to manage in order to control free cash flow as much as possible. And we will be certainly working to manage it as closely for this coming year to breakeven as we can. 
 Based on the timing of the investments that we've highlighted and some of the uncertainty as it relates to the new product launches that we've had this year and how they will play out, it's possible that free cash flow for 2020, like I said, it could be right around that breakeven to slightly positive to slightly negative for the upcoming year. 
Zachary Silver: Got it. And then, I guess, we're in a period with a lot of macro uncertainty and noise. And your net leverage, you've made some improvement on that in 2019, but it's still at 5.3. It's a bit high relative to the industry average. Is there anything you can do, things like noncore asset sales, like Chicago Fiber or any other things you have at your disposal that could potentially accelerate that deleveraging, if we do get some macro deterioration? And as kind of an add-on to that, can you remind us of sort of your long-term net leverage targets? 
Richard Fish: Yes, I would say that we remain open as always to any conversations with any party that would have the benefit of maximizing value for our shareholders. So there are currently -- so with that being said, I could also tell you that there are currently no ongoing discussions in that vein. But like I said, we certainly remain open to any and all discussions that would be value accretive. From a long-term kind of trajectory for anticipated leverage, we've said in the past, and we'll kind of repeat it again, our target is mid- to low 4s on a total net leverage basis. 
 And certainly, we believe that the quickest path to deleveraging this company actually goes through the transformation initiatives that we've talked about on the call today, such that the improvements that we should get from higher-margin HSD subscribers, much more operational, much more operationally efficient back office from a better customer experience as well as being more capital efficient that will drive, in the future, accelerated EBITDA growth as well as kicking off more -- a growing profile of free cash flow, all of which will help accelerate the deleveraging of the company. 
Operator: We'll take our next question from Batya Levi with UBS. 
John Hodulik: This is Chris for Batya. On the broadband subscriber outlook, can you help unpack what is driving the acceleration and what you're assuming in terms of the contribution in both the legacy footprint and in the Edge-Out territories? And you mentioned the lower levels of churn that you saw in 2019, do you see room for further improvement in 2020? Or will growth come more from the gross add side? 
Teresa Elder: Okay. Thanks for the question, Chris. And I'll start out. I guess just starting in terms of the subscriber growth, we've been very pleased with the continued response from the market to both the increase in our speed tiers, as I said a moment, again, our 200, 500 and 1 gig speeds are very attractive rates for our customers, for all the streaming services that they want and the many applications that customers have with the increased demand for bandwidth. 
 We also offer these at very competitive prices, and we have reliable services that, coupled with our mesh Home WiFi network, the Whole-Home WiFi product is a very attractive offering for our customers. Now that we're starting to offer streaming through these partners that we mentioned for live streaming services, we feel that's even a stickier product as we help customers navigate the many choices that they have on streaming and then even help them through the installation in their home. So those things all contribute to, I think, why customers are attracted to us. 
 And then the churn rate is really through the reliability of our network and our legacy of a commitment to customer service that we've always had. In terms of churn, we really continue to be delighted with our churn numbers and how customers are sticking with us. So yes, we actually do see that there's going to be some improvement even over 2019 numbers, which kept the kind of record levels that we had in 2018 that we had set. 
 I think the last part of your question was also about Edge-Outs. We've been pleased with the number of homes passed, which were delivered in 2019 and especially in the third and fourth quarter, that was a huge inventory of homes to be delivered to our marketing and sales folks to offer new customers, our services. I think we have a very robust campaign in those markets to attract new customers. And as Rich said, I feel like the ramping process for those continues to be good, while we also look to deepen penetration in our vintage Edge-Out areas as well. So I think you had also asked about the difference in margins, and I don't know that we... 
Richard Fish: Yes, if you could repeat that question, I wasn't sure that we picked that one up, the difference in margin. 
John Hodulik: I don't think I was mentioning margins. I was just saying the difference in the contribution you were expecting in your legacy footprint versus the Edge-Out territories. 
Teresa Elder: Okay. I'm sorry, I was thinking contribution margin. Okay. And in terms of Edge-Out, one of the levers that we think we can pull this year is because we have such a big inventory of homes passed that were delivered in 2019, we're looking to probably add fewer new Edge-Out home areas this year as we use CapEx for the new services and continuing to become more operationally efficient. 
John Hodulik: Great. And then just one more question, if I could, on CapEx. Can you provide a little more color on where CapEx will be spent in 2020? It sounds like CPE costs should continue to come down with video declines and the greater emphasis on the IP offerings, but what other areas are increasing to offset this? 
Richard Fish: Yes. Well, we're not -- as I said, we're not really giving a lot of specific guidance as it relates to CapEx other than kind of the directional. Certainly, as we think of how it will play out across the -- kind of the individual line items. CPE and installation, actually, on a year-over-year basis, will more than likely -- it will go up, and that is not necessarily as a result of less video. It's really more attributable to the fact that last year, we were able to utilize some existing inventory of boxes, customer prem equipment that was on hand that we wouldn't have really this year. 
 So the other areas that will certainly be drivers of CapEx for this year is really across the initiatives that we have spoken to. So that will be a combination of scalable infrastructure, line extensions on a year-over-year basis will probably be lower from '19 into '20. And then the support capital line item will most likely be up on a year-over-year basis because that is where a good chunk of the development activity is related to the transformation initiatives, and the digital transformation/back office initiatives would be captured in that line. 
Operator: We'll take our next question from Brandon Nispel with KeyBanc Capital. 
Brandon Nispel: Great. Teresa, a couple for you, maybe one for Rich. What's your greatest worry as you go about making those net transition, and what are the steps you're taking to mitigate it? Two, maybe for Rich or Teresa, is the penetration rate you're targeting for video, again, as you make this transition? And then can you maybe help with the economics that you received from selling MVPD services? 
Teresa Elder: Okay. Thanks, Brandon. So my -- I guess my greatest worry is one that I had even before we launched some of the new services and that is what will the customer reaction be. And the good thing, what we're doing to mitigate it is we're launching really exceptional products, and we're testing them. We have good data on how we're launching new products. And quite honestly, I think my worry is being mitigated as we're seeing the customer reaction in the marketplace. 
 I think when I've been asked this question before, I've said my worry is about our ability to execute on these things. I would say that is not my worry now because we are executing on these things. We're seeing the customer reaction in the marketplace. And we've been very pleasantly surprised with just the adoption rates of what we're seeing already. So I guess our continued mitigation is continuing to look at the data and respond to the customers, and so far that has been treating us quite well. 
 In terms of the penetration on video, there is not a specific target number that we're looking for. Rather, where we really feel, as a broadband-centric business, our focus is on, first of all, our customer relationships. But that is really led by our HSD services. And just to be clear, we don't ever sell video without an HSD offering. So 100% of our customers virtually have an HSD offering, and then the WOW! TV plus or the OTT would be an additional add-on to those HSD services. 
Richard Fish: I think the last question was the economics around streaming. Certainly, every partnership is different with what is offered. There is really a nominal -- I don't want to describe it as a nominal, but nominal bounty for some that is offered, so it's not really a revenue share kind of model per se. 
 The real partnership benefit to be derived is with the streaming providers is leveraging our strength, which is to say, having an OTT streaming customer is -- that's the choice that they're making that they want. And what we want is the customer relationship, so that we can provide the data services to the customer. It's well known but data services are 95-plus percent gross margin services. They are very efficient as it relates to operating costs, calls into your call center. They're a much more capital-efficient customer, et cetera, et cetera. So from our perspective, the benefits are really derived from the data relationship and the -- any sort of revenue bounty that might be available from one of our partners is really just a small piece of the puzzle. 
Teresa Elder: Right. These streaming services absolutely played to the strength of WOW! and our advanced network that can handle this and continue to provide just a great experience for our customers. 
Operator: We'll now go to Frank Louthan with Raymond James. 
Frank Louthan: I think I missed this. You were going through the statistics on the penetration of the Edge-Out by various years. What did you say was the 2018 and 2019 managed Edge-Out penetration statistics? And I've got a follow-up. 
Richard Fish: 2018, Frank, is -- currently stands at 17.3% penetration. 2019 currently stands at 9.1% penetration. The vast majority of the 2019 Edge-Out homes that were the new homes passed and were added to the network, which totals approximately 48,000, were added in the second half of 2019. So the average days that the 2019 cohort have been active and available for sale is actually quite young. 
Frank Louthan: Okay. Well, just sort of in light of the Edge-Out strategy, historically, I think you achieved some penetration rates a little higher than that. You're now running breakeven on free cash flow. Why wouldn't you consider a go-private transaction, where you can possibly invest and grow the business and -- with a different investor base? Then -- this seems like a little bit of a setback. Why wouldn't you consider go-private transaction? 
Teresa Elder: Yes. I guess first of all, I wouldn't say that we feel like there's a setback certainly on Edge-Outs. I think one of the things that Rich mentioned is that our more recent additions of Edge-Out homes actually are costing us slightly less as well. Penetration is just one of the factors that we look at. They are still highly accretive and attractive to us. And we will continue to utilize that Edge-Out strategy. We see lots of penetration there. 
 As opposed to any kind of a transaction, I think it's back to what Rich said earlier, we're open to a variety of transaction, but we feel good about running the business as we are right now. 
Operator: We have no further questions at this time. It is now my pleasure to turn the call back to our speakers for any closing remarks. 
Teresa Elder: Well, thank you all so much for joining us this afternoon. And we appreciate the continued interest in our business and your support of WOW!. So thank you so much, and have a great day. 
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.